Operator: Welcome to Portman Ridge Finance Corporation's First Quarter 2024 Earnings Conference Call. An earnings press release was distributed yesterday May 8 after market close. A copy of the release along with an earnings presentation is available on the Company's website at www.portmanridge.com in the Investor Relations section and should be reviewed in conjunction with the company's Form 10 Q filed yesterday with the SEC. As a reminder, this conference call is being recorded for replay purposes.
 Please note that today's conference call may contain forward-looking statements which are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in forward-looking statements as a result of a number of factors including those described in the Company's filings with the SEC. Portman Ridge Finance Corporation assumes no obligation to update any such forward-looking statements unless required by law.
 Speaking on today's call will be Ted Goldthorpe, Chief Executive Officer, President and Director of Portman Ridge Finance Corporation; Brandon Satoren, Chief Financial Officer; and Patrick Schafer, Chief Investment Officer.
 With that I would now like to turn the call over to Ted Goldthorpe, Chief Executive Officer of Portman Ridge. 
Edward Goldthorpe: Good morning and thanks, everyone, for joining our first quarter 2024 earnings call. I'm joined today by our Chief Financial Officer, Brandon Satoren and our Chief Investment Officer, Patrick Schafer. I'll provide brief highlights on the company's performance and activities for the year. Patrick will provide commentary on our investment portfolio and our markets and Brandon will discuss our operating results and financial condition in greater detail. Yesterday, Portman Ridge announced its first quarter 2024 results and following the strong earnings trajectory we saw in 2023, we are pleased with the solid earnings power of the portfolio. Despite operating under challenging market conditions, we reported net investment income of $6.2 million or $0.67 per share and net asset value of $210 million -- $210.6 million or $22.57 per share.
 We continue to target a well-diversified portfolio with investments spread across 29 industries and 103 entities, while maintaining an average par balance per entity of $3.1 million. This compares to 27 industries and 100 entities with an average par balance per entity of $3.1 million at the end of 2023. Credit quality remained stable with 7 investments on nonaccrual representing 0.5% of the portfolio on a fair value basis. Additionally we continue to believe our stock remains undervalued. And during the quarter, we've continued to repurchase shares under our repurchase program purchasing 51,015 shares for an aggregate cost of $1 million. These repurchases had an accretive effect to Portland's net asset value of $0.02 per share, reinforcing our commitment to shareholder value. Further, the Board of Directors approved dividend for the second quarter of 2024 in the amount of $0.69 per share, which represents a strong 12.2% annualized return on net asset value which is among the highest in the BDC space.
 Turning to conditions in our primary market, as we previewed on our first quarter earnings call, M&A activity has picked up during the quarter and capital markets as a whole were extremely active as compared to the fourth quarter. Net deal activity defined as new deals excluding corresponding repayments in the BSL loan market was $57.2 billion, up 64% from the fourth quarter and represented the highest new net volume since first quarter of 2022 and is representative of the fundamental tailwinds we believe exists in our primary markets.
 For all of 2023, private equity firms have been sitting on record amounts of dry powder, while at the same time being pushed by LPs to return capital. Although, expectations for future rate hikes have diminished towards the end of the first quarter and the beginning of the second quarter, we believe the aforementioned fundamentals combined with positive economic outlook and sentiment should continue to fuel new deal activity in our private credit space over the course of 2024. Specifically at Portman Ridge and more generally across BC Partners credit platform, we continue to find attractive opportunities, both through our sponsor relationships and our focus on non-sponsor or nontraditional sponsor-backed companies and continue to win transaction based on our ability to custom tailor, a capital solution for the borrower and the borrowers' belief that our platform can add value to their businesses over and above just being a capital provider.
 Our strategy has always been to be very selective on new investment opportunities, focusing on portfolio management and risk mitigation. To that point during the quarter, we made investments into only one new portfolio company. Our goal continues to be the further diversification of our portfolio by investing in companies that have a potential to provide high returns for our shareholders. As we proceed further into 2024, our pipeline remains strong and we believe we are well-positioned to take advantage of new investment opportunities while also remaining diligent in our investment and capital deployment process.
 With that, I'll turn the call over to Patrick Schafer, our Chief Investment Officer for a review of our investment activity. 
Patrick Schafer: Thanks, Ted. Turning now to slide 5 of our presentation and the sensitivity of our earnings to interest rates. As of March 31, 2024, approximately 91.1% of our debt securities portfolio were floating rate with the spread to an interest rate index such as SOFR or Prime with substantially all these being linked to SOFR. As you can see from the chart, the underlying benchmark rates of our assets during the quarter lagged the prevailing market rates and still remain below the SOFR rates as of April 29, 2024. But between the market transition last year from LIBOR to SOFR and the pause from the Fed earlier this year, the gap has narrowed to the tightest it has been since the onset of the Fed rate hike cycle. Skipping down to slide 10. Originations for the first quarter were higher than prior year first quarter and were above repayment levels, resulting in net originations of approximately $1.7 million. Our new investments made during the quarter are expected to yield a spread to SOFR of 581 basis points on par value, and the investments were purchased at a cost of approximately 98.4% of par.
 Our investment portfolio at the end of the first quarter remained highly diversified. We ended the year with investment spread across 29 different industries and 34 different borrowers, all while maintaining an average par balance per entity of approximately $3.1 million. Turning to slide 11. In aggregate, investments on non-accrual status remain relatively low at 7 investments at the end of the first quarter 2024, representing 0.5% and 3.2% of the company's investment portfolio at fair value and cost, respectively. This compares to December 31, 2023, where there were also 7 investments on non-accrual status, representing 1.3% and 3.2% of the company's investment portfolio at fair value and cost, respectively.
 On slide 12 excluding our non-accrual investments, we have an aggregate debt investment portfolio of $384 million at fair value, which represents a blended price of 93.7% of par and is 90% comprised of first lien loans based on par value. Assuming a par recovery, our March 31, 2024, fair values reflect a potential of $25.8 million of incremental net value, a 12.1% increase or $2.72 per share, excluding any recovery from the non-accrual investments. If you were to further overlay an illustrative 10% default rate and 70% recovery to the entire debt securities portfolio, again excluding non-accrual investments, the incremental NAV value potential would be $1.41 per share or 6.2% increase to NAV per share as of March 31, 2024.
 Finally, turning to slide 13, if you aggregate the 3 portfolios acquired over the last 3 years, we have purchased a combined $434.8 million of investments, have realized approximately 82% of these positions at a combined realized and unrealized mark of 102% of fair value at the time of closing the respective mergers. As of Q1 2024, we had fully exited the acquired portfolio and are down to a combined $33.5 million of the acquired HCAP portfolio and the initial KCAP portfolio. I'll now turn the call over to Brandon to further discuss our financial results for the period. 
Brandon Satoren: Thanks, Patrick. As Ted and Patrick previously mentioned, our results for the first quarter of 2024 continue to reflect the company's strong financial performance. Our total investment income for the quarter was $16.5 million, of which $14.2 million was attributable to interest income from the debt investment portfolio. This compares to total investment income for the fourth quarter of 2023 of $17.8 million of which $15.3 million was attributable to interest income from the debt investment portfolio.
 The decrease was primarily driven by the reversal of $0.4 million or $0.04 per share of previously accrued unpaid interest on 2 portfolio companies placed on non-accrual during the first quarter of 2024, as well as lower pay-down income of $0.4 million or $0.04 per share during the quarter. Excluding the impact of purchase price accounting, our core investment income for the quarter was $16.5 million, a decrease of $1.2 million compared to core investment income of $17.7 million in the prior quarter. Our net investment income for the quarter was $6.2 million or $0.67 per share. This compares to $11.2 million or $1.18 per share for the prior quarter. The decrease in net investment income was the result of lower investment income and $0.1 million or $0.01 per share of incremental expenses in the first quarter as well as a onetime expense reimbursement from the company's investment adviser during the prior quarter.
 As of March 31, 2024, and December 31, 2023, the weighted average contractual interest rate on our interest-earning debt investment portfolio was approximately 12.1% and 12.5%, respectively. We continue to believe the portfolio remains well positioned to generate incremental revenue in future quarters due to the current rate environment. Total expenses for the quarter ended March 31, 2024, were $10.3 million compared to total expenses of $11.9 million for the fourth quarter of 2023. The decrease was largely driven by lower incentive -- by a lower incentive fee as well as lower interest and financing costs as a result of lower average leverage during the quarter.
 Our net asset value as of March 31, 2024, was $210.6 million or $22.57 per share, a decrease of $0.19 per share as compared to the prior quarter net asset value of $213.5 million or $22.76 per share. The decrease was largely driven by our dividend exceeding net income for the quarter ended March 31, 2024.Turning to the liability side of the balance sheet. As of March 31, 2024, the company  had a total of $291.7 million of borrowings outstanding with a weighted average interest rate of 6.9%. This balance was comprised of $92 million in borrowings under our senior secured revolving credit facility, $108 million of 2026 notes and $91.7 million of 2018-2 secured notes due 2029. We finished the quarter with $23 million of available borrowing capacity under the senior secured revolving credit facility.
 Accordingly, as of March 31, 2024, our gross and net leverage ratios were 1.4 times and 1.2 times, respectively. Compared to the prior quarter, gross leverage is down 1 full turn from 1.5 times and net leverage is flat. The decrease in gross leverage is largely driven by the paydown on the 2018-2 notes during the quarter. From a regulatory perspective, our asset coverage ratio as of quarter end was 171%. Finally, the Board approved a quarterly distribution of $0.69 per share payable on May 31, 2024, to stockholders of record at the close of business on May 21. With that, I will turn the call back over to Ted. 
Edward Goldthorpe: Thank you, Brandon. Ahead of questions, I'd like to reemphasize that we believe we are well positioned to take advantage of the current market environment as shown in the first quarter. Through a prudent investment strategy, we believe we will be able to deliver strong returns to our shareholders for the rest of 2024. Thank you once again to all our shareholders for your ongoing support.This concludes our prepared remarks, and I'll turn the call over for any questions. 
Operator: [Operator Instructions] Your first question comes from the line of Christopher Nolan. 
Christopher Nolan: The slowdown in the growth of the portfolio -- is the strategy now simply to make new investments to offset the prepay. So in other words, the amount of money that you put out to work in new investments is a function of how much you get back in terms of prepays that quarter? 
Edward Goldthorpe: I mean, I think, I think that's generally right, Chris. And I do think kind of where we are in a net leverage basis we're sort of at the low end of kind of our one and a quarter to 1.4 times range. So I think there is we do have room and would look to kind of increase our I'll call it assets, in addition to just, I'll call one in one out, but where we sit now I think we are probably having a little bit more of a focus on what you just said which is making sure we're replacing assets that have been repaid.
 We are kind of selectively reducing some of our liquid exposure just given the run-up in the BSL market it's not a lot but we have probably and you know 8 or 9 names that are "liquid" in our book. So we would look to as it does positions that kind of attractive prices in the DSL market and then obviously have those proceeds to rotate into new private transactions. So it's a mix of a couple of those things but I would say, we definitely feel like we have room to kind of be a net grower of the portfolio, but being mindful of, where we are relative to our leverage guidelines. Not guidelines, but guidance. 
Christopher Nolan: And then, given that you're paying down the 2018 secured notes, should we expect the bank revolver to pick up the slack to increase? 
Patrick Schafer: That's right. Where the revolver sits today, we're at about $92 million drawn or so. It has $115 million of total capacity, and there's an incremental above and beyond that. But the very short answer is yes. 
Christopher Nolan: Okay. And then I guess finally, Ted, can you give us a little color in terms of what you're seeing in terms of BDCs, looking to be bought out? How has that market changed from your perspective? 
Edward Goldthorpe: I would say these things tend to go in waves. I would say there's not a lot of logical partners for us today, just given who's out there and given what's happening. And I think higher interest rates have obviously helped the whole sector in terms of earnings and other things, and obviously credit quality has been stable. So I would say as of now, I don't foresee a big wave of consolidation in the short term. 
Christopher Nolan: Great. I'll back in the queue. Thank you for answering my questions. 
Operator: [Operator Instructions] Our next question comes from the line of Deepak Sarpangal from Repertoire Partners. 
Deepak Sarpangal: I guess given the first question you received, I have a different perspective on that. I actually just wanted to commend you on your fiduciary discipline to not simply grow the portfolio as some other managers do since you get paid on overall assets. So I think it's actually great. You're recognizing that your stock is undervalued. When it makes sense to lean in and extend new loans, you're doing it, and when it doesn't, you're pulling back. So I think that's actually great.
 And then the question I had was, I saw the new investment in Riddell, which I obviously know of the products, being a football fan. But I saw that you had, like, a broader partnership that you announced, with the BC Credit and BC Partners platform. Could you talk a little bit more about that new investment and just give us a little bit more context there? 
Patrick Schafer: Yes, I mean, we normally don't talk about individual investments, but this one specifically has been very high profile. So we have provided them financing. It closed right at quarter end. And, this is a perfect example of what we do, broadly speaking. So, we have a board seated with the company. We are very, very active in helping them with a number of different initiatives.
 And it's a great business because there's a big recurring replacement cycle embedded in their business. So usually we don't have a big consumer franchise, but when you actually dig into the business itself, it's much less exposed to consumer discretionary spending. So, yes, it is an investment across the whole platform, and it's one of the advantages Portman gets as being part of a bigger platform is to get access to deals like this. 
Deepak Sarpangal: Got it. And then the -- I couldn't tell for sure from the press releases, but to your point about the bigger platform, it almost sounded like you sourced it and brought it to the BC Partners platform better than the other way round? Or did I get that mixed up? 
Edward Goldthorpe: No. That's fair. I mean, I mean, we obviously have a lot of our own captive source inherent.So we have we source and quite frankly we've been working on it for them. We've been cultivating the management team for probably 5 years before the close. 
Deepak Sarpangal: That's great. And then, what are the -- what is EBSC Holdings related to this? Or is that a separate investment? 
Patrick Schafer: No. It's the same. So the investment from the combined investment was structured as again round numbers sort of 65% first-lien secured loan and 35% preferred equity investments or structured equity investment in the business.
 And so for Reagan Format as an example, you have a weighting between the 2, but that you could think of that as the same as I think the loan, the borrowers technically for Dell Inc. and then the preferred equity that is technically EBSC, but I was just up to the parent company of Riddell. 
Deepak Sarpangal: Got it. And I suspect that preferred equity must be convertible into common rate. 
Patrick Schafer: It does have the potential to convert at certain metrics? Yes. 
Deepak Sarpangal: Okay. No. I think it does. The first-lien loan looks great, right? It's like 11% cash pay first-lien and then the preferred is 10% pick. So I figured there must be a conversion feature to me,… 
Patrick Schafer: That's right. What our expectation is overall return on that on that instrument would be meaningfully higher than 10%. But for accounting purposes that's what we would otherwise be reflecting you know until there was some sort of catalyst. 
Deepak Sarpangal: Okay. Great. Well, to me it seems like generally more of the same good stuff in the check off Mickey boxes you have low and declining non-accruals, deleveraging, paying down debt seemed like an even higher mix of senior secured loans this quarter, while working off the CLO and joint venture stuff and the more accretive buybacks another nice dividends, so appreciate the solid execution and the leadership. And I look forward to keeping that going. Thank you. 
Operator: [Operator Instructions] Our next question comes from the line of Steven Martin. 
Steven Martin: So couple of questions, Pat, could you comment on PIC and what the trends have been? It looks like PIC is on a higher percentage of total interest income recently? 
Patrick Schafer: Yes. I'm sorry. I was just pulling up the number Steve. Look, I think probably some of that is driven by we had significantly lower payment income. So my just look a little bit a little bit a little bit higher as a percentage because of that. I again, I'd say like the broad brush comment is, we don't see a material change in sort of how we are going to market and pick first cash there has been there have been some competitors that you've seen in our market a little bit.
 And some folks have been willing to offer like the 1st year or 12 to 18 months as a partial pick option for borrowers is kind of like a trying to win a deal that's not particularly prevalent candidly, but it is sort of out there every, every once in a while.But broadly speaking we don't we don't see material changes in our and our cash flows PIC but our cash flow PIC and kind of how we how we think about portfolio construction. 
Steven Martin: On Slide 10, you made the comment that you only added one new portfolio company yet purchases and draws were almost $39 million. All the rest of that was existing portfolio companies and drawdowns on delayed terms? 
Patrick Schafer: Yes, that's right. It's a comp against that. We had some revolvers delayed-draw term loans and existing -- all-in existing borrowers and we had one new security if you will that wasn't like I previously committed DDTL, but in addition borrowers.
 So, yes, again broadly speaking that is all from kind of the existing base. We'll probably have -- I don't know the exact number, we'll probably have 2 or 3 new borrowers this quarter just cost of activity in April and May, but yes, my statement is correct and what you see there is activity within our existing portfolio. 
Steven Martin: And that you started to comment on the current quarter. Can you make any comments about what you're expecting in terms of portfolio activity and your portfolio size versus the first quarter? 
Patrick Schafer: Yes. No, I appreciate it. So, again, kind of similar to what we had said last quarter. I think -- and what kind of I had alluded to when Chris Nolan asked the question. I think overall we would kind of expect to be, sort of, on the margin a net deployer. But kind of again it depends a little bit on timing of certain things like as an example for this quarter, we were up a little under $2 million from net deployments, both the Riddell transaction closed at the end of the quarter.
 And so that had been pushed 2 days would have looked like we were $6.5 million or $7 million of net receiver of capital. So, some of it depends a little bit on timing, but I think on the margin, you would expect us to -- we would expect to be flat or slightly growing let's say over the course of the year, Steve, and whether it falls kind of a little bit around the edge of a quarter might be a plus or minus here or there, but we kind of generally would be ourselves as a marginal net deployer of capital this year. 
Steven Martin: Slide 11, non-accruals, the number of investments didn't change. The costs didn't change. I haven't had a chance to go through the whole portfolio from the Q, but the fair value changed? 
Patrick Schafer: Yes, a lot of this was driven by probably one security being marked down. You can even ultimately look at through, it's a second lien security and [ Coltech ] USA is the name of the borrower. But it's again obviously regardless of whether it is on accrual or now, we kind of go through from a fair value perspective. That's again it was just a reflection of a markdown in a position that's on non-accrual. 
Steven Martin: And where are you putting money out currently? Like the most recent deal you did or the most and most -- well I guess you only did one new deal in the quarter, but where -- the pricing you're talking about on some of the new deals for the second quarter, what are you looking at? 
Edward Goldthorpe: No, real big change. I mean there's been a big, big, big delta between where large cap sponsor deals are getting done and where our market is. So, like if you look at trends and covenants, if you look at trends and spreads, they've really come in pretty dramatically for big LBOs and they haven't really come in that much for us.
 There has been some spread compression, but not really that much. Our deployment really is in mostly 2 areas. It's really -- there are core sponsor finance first-lien type stuff which is still pricing at 12%, 13% yields. And then number 2 is, we do have a big non-sponsor franchise where we get paid a little bit more and help out the companies. So like [ Riddell ] kind of fits into that bucket because it's not a traditional deal. So again, we haven't really experienced spread compression in our portfolio, and the impact of the opening up of markets and stuff has been much more muted. I mean, you can see there's been a big trend of BSLs being issued to take out direct loans. But if you look at our fee income, like it's never been lower. So again, like as these loans approach maturity, fee income should pick up. But we haven't experienced the broad-based paydowns that you've seen the MSL market, do. 
Steven Martin: You actually just answered one of my questions. But assuming interest rates don't change much for the balance of the year, because, at this point where they're speculating one rate change and no one's sure if it's up or down. What would you expect to have on the unrealized line? Would you expect the portfolio to -- would you expect the mark-to-market to increase, decrease, stay sort of where it is? 
Edward Goldthorpe: So good question, Steve. I'm just trying to think this through. It would depend a little bit more on where deals are getting done, obviously. And so there's kind of like 2 or 3 downstream effects, which is if I would say the bigger driver of whether we have - of how we have movements is probably a little bit more the M&A market. And maybe that is like a derivative of the interest rate environment. But where we are today, there's not a massive amount of M&A picking up, but obviously off of like a pretty low base. And so there was a lot more activity this quarter, but off of an incredibly low base for, probably the 3 -- the last 3 quarters of 2023.
 And so with that as kind of like the backdrop, it's been somewhat competitive in our market, which has led to, again, BSL prices declining, decreasing, and even private -- again, on the higher side, but private markets spreads also compressing, which is kind of like independent a little bit of interest rates. They're not directly correlated to interest rates. So it's a tough answer, but to say if M&A remains sort of somewhat muted this year because of interest rates, I would say on the margin, we would have unrealized gains because that would probably lead to a continued spread compression and therefore pricing increases. But it's not -- at least in our portfolio, it's not exactly a direct line between interest rates and the hikes and declines and the price of our portfolio. 
Operator: We have no further questions. Please continue. 
Edward Goldthorpe: We did have a question about our realized losses. Brandon, do you want to take that? 
Brandon Satoren: Sure. So the primary driver of the realized losses during the period was one name in particular that was restructured. It was HDC or Hostway. That drove the vast majority of the realized during the period. 
Edward Goldthorpe: So just really, it's one restructured security that we still continue to hold. So anyway, thank you all for attending our call. As per always, please reach out with any questions. We're always happy to discuss with anyone and we look forward to speaking to you again in August for our second quarter conference call. Thank you very much. 
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.